Operator: Greetings, and welcome to DMC Global First Quarter 2019 Earnings Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host. Geoff High, VP of Investor Relations.
Geoff High: Hello, and welcome to the DMC's first quarter conference call. Presenting today are President and CEO, Kevin Longe and CFO, Mike Kuta. I'd like to remind everyone that matters discussed during this call may include forward-looking statements that are based on our estimates, projections and assumptions as of today's date and are subject to risks and uncertainties that are disclosed in our filings with the SEC. Our business is subject to certain risks that could cause actual results to differ materially from those anticipated in our forward-looking statements. DMC assumes no obligation to update forward-looking statements that become untrue because of subsequent events. A webcast replay of today's call will be available at DMCglobal.com after the call. In addition, a telephone replay will be available approximately 2 hours after the call. Details for listening to the replay are available in today's news release. And with that, I'll now turn the call over to Kevin Longe. Kevin?
Kevin Longe: Thanks, Geoff. Improved market conditions and increased customer demand, resulted in a strong start to 2019 for DMC. First quarter sales were a record $100.1 million, up 49% versus the 2018 first quarter and 11% sequentially. DynaEnergetics, our oilfield products business reported sales of $79.8 million, up 63% from the 2018 first quarter and up 26% sequentially. The results reflected continued strong demand for DynaEnergetics intrinsically safe integrated switch-detonators and it's Factory-Assembled, Performance-Assured, well perforating systems. First quarter sales at NobelClad, our composite metals business, were $20.3 million, up 12% versus the same quarter in 2018 and down 25% from last year's fourth quarter. The sequential decline resulted from NobelClad's efforts during the fourth quarter to accelerate production and shipment on a large order for the chemical industry. NobelClad ended the first quarter with an order backlog of $40.5 million, up from $29.9 million at the end of last year's fourth quarter. Trailing 12-month book to bill ratio at the end of the quarter was 1.02. DMC reported consolidated gross margin of 36%, up from 34% in the 2018 first quarter and up sequentially from 35%. The increase versus both periods reflects higher proportion of sales from DynaEnergetics and a higher margin project mix at NobelClad. DynaEnergetics reported gross margin of 39% versus 40% in the same quarter a year ago and flat versus last year's fourth quarter. NobelClad's gross margin increased to 26% from 18% in the 2018 first quarter and 25% in the fourth quarter. Adjusted operating income was $20.5 million and excludes $78,000 in restructuring charges at NobelClad. Adjusted operating income in last year's first quarter was $8.6 million. DynaEnergetics reported first quarter operating income of $23.1 million and NobelClad reported operating income of $1.8 million. DMC's first quarter adjusted net income was $15.2 million or a $1.02 per diluted share versus adjusted net income of $7.2 million or $0.49 per diluted share in the 2018 first quarter. Adjusted EBITDA was $23.9 million, up 105% from $11.6 million in last year's first quarter and up 41% from $16.9 million in the fourth quarter. DynaEnergetics reported EBITDA of $24.5 million while NobelClad reported adjusted EBITDA of $2.7 million. Our trailing 12-month return on invested capital at the end of the first quarter was 25%.Crude oil prices increased 32% during the first quarter and well completion activity also improved. Against this backdrop, the unconventional well completion industry accelerated its shift towards intrinsically safe initiating systems and Factory-Assembled, Performance-Assured perforating systems from DynaEnergetics. The safety, reliability, and simplicity of these advanced systems is enabling customers to streamline their field assembly crews, reduce gun string assembly times and complete more stages per day. We are responding to this growth in demand with further additions to our manufacturing capacity, a third automated detonator assembly line recently commenced production at DynaEnergetics facility in Troisdorf, Germany and we'll begin installing an additional automated shaped charge line at our Blum, Texas plant later this quarter. NobelClad, our composite metals business also is reporting increased order activity. Demand from the refining and aluminum smelting industries has been particularly strong and there also has been an uptick in award to mid-sized projects. The strong year-over-year improvements in NobelClad's gross margin reflects the positive impact of consolidating NobelClad's European manufacturing facilities into our Liebenscheid, Germany plant as well as successful efforts to capture value for NobelClad's unique products and technologies. I want to thank our employees around the world for their continued dedication to DMC. Our growth and success would not be possible without their considerable efforts. I'll now turn the call over to Mike for further detail on our first quarter financial performance and a look at our guidance. Mike?
Mike Kuta: Thanks, Kevin and hello everyone. Starting with our first quarter expenses, consolidated SG&A was $15.5 million or 15% of sales versus that SG&A $13.4 million or 20% of sales in last year's first quarter. First quarter amortization expense was $398,000 or less than 0.5% of sales. We ended the first quarter with cash and cash equivalents of $14.9 million, net debt was $28.5 million versus $28 million at December 31,2018. We generated $7 million in cash from operating activities during the first quarter, which compares with $3 million of cash used in operating activities during the 2018 first quarter. Turning to guidance, we anticipate second quarter sales in a range of $102 million to $107 million, up from the $80.9 million we reported in last year's second quarter. We expect DynaEnergetics sales will be in a range of $82 million to $85 million versus $58.9 million reported in last year's second quarter. Sales at NobelClad are expected in a range of $20 million to $22 million versus $22 million in the same quarter a year ago. Second quarter consolidated gross margin is expected to be in the 35% range, up from 33% in the 2018 second quarter. The possibility of a sequential decline versus the 36% gross margin reported in the first quarter reflects potentially higher material costs as DynaEnergetics continues its transition to in-house manufacturing of components used in the DynaStage perforating system. We expect SG&A will be approximately $16.5 million versus the $15.5 million reported in last year's second quarter. Amortization expense is expected to be approximately $400,000 and interest expense should be approximately $500,000. Second quarter adjusted EBITDA is expected in a range of $22 million to $24.5 million, up from $13.9 million in last year's first quarter. We are updating our prior full year 2019 guidance and now expect sales in a range of $405 million to $425 million, up from a previously forecasted range of $350 million to $370 million. Sales in 2018 were $326.4 million. Sales at DynaEnergetics are expected in a range of $325 million to $340 million while anticipated sales at NobelClad remain in a range of $80 million to $85 million. We expect full year gross margin in the 35% range versus the 34% we reported last year. SG&A is now expected in a range of $63 million to $66 million versus the $61.2 million reported last year. Our expected full year amortization expense remains at approximately $1.6 million, down from $2.9 million in 2018. Our full year estimate for interest expense is unchanged at $2 million to $2.25 million and we are maintaining our expected effective tax rate of approximately 30%.Full year adjusted EBITDA is now expected in a range of $90 million to $100 million, up from $59.6 million in 2018. We have increased our expected full year adjusted net income per share to a range of $3.40 to $3.70, up from the $2.07 we reported last year. We are maintaining our capital expenditure forecast in a range of $25 million to $30 million. With that, we are ready to take any questions. Operator?
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions]  Our first question comes from the line of Tommy Moll with Stephens. Please proceed with your question.
Tommy Moll: If you look at the broader perforating market, it sounds like the shift to systems has accelerated pretty quickly in recent months. I wondered if you have any guess of where we are in terms of the percent penetration there for systems. Any idea of where that might head. And then as you think about the competitive dynamics within that systems bucket, what is the most unique aspect of your system and in the end, is the system what determines market share or is it the energetics?
Kevin Longe: First and foremost and we'll use Spears data which they recently published this week and they estimate the market size for perforating equipment to be $1.4 billion. We estimate that the North American market is the majority of that, around $1 billion in revenue this year and we don't subscribe to the thought that the systems market is a niche, let alone a new niche and we believe that the total available market is at least that $1 billion in revenue. Regarding the competitive situation, first and foremost, safety around the well site and deploying perpetrating systems is of utmost importance. The performance of the shaped charges, the shape charges do the work is critically important, the well site and supply chain efficiency and the delivery mechanisms are important and DMC or DynaEnergetics, our oilfield products division, they are a market leader in shaped charge technology. They have a full suite of shaped charges from our FracTune to our DPEX or HaloFrac. We have rock optimized charges and a large technical database that's been developed over years working with leading E&P companies where we fine tuned the selection of charges for the rock formations that they are being used in. That's of utmost importance. Our initiating system is truly unique in the industry. It's the only integrated intrinsically safe switch-detonator system that does not have any wiring. It's also easily deployed and we've used that integrated switch-detonator technology, our DynaSelect family of detonators to deploy different types of gun systems for different applications and in the combination of the integrated switch-detonator, the shaped charges and the perforating gun systems is what we feel gives us our competitive advantage. And we are capable of universally working on any well site, not just in North America, but around the globe with our initiating systems. Our shaped charges can be used in our guns, that can be used in open architecture guns and our Factory-Assembled, Performance-Assured systems provide a superior end result, which is unique in the industry. And so, you know we're not really competing in one little niche, we're supplying the entire market a full suite of products and family of products.
Tommy Moll: Thank you. And I'll try to shorten my approach here for the follow-up. You called out some margin impacts at DynaEnergetics relating to material costs for some components that you're going to maybe start producing in-house or already are. Can you unpack that for us and just help us understand what the drivers are and what the outlook is?
Kevin Longe: Yes, and you know we're looking to improve our gross margin from where it is today. We have relatively stable pricing in the first quarter. Our revenue and number of units sold increased at a faster rate than we had originally expected. We also are in the process of getting our productivity up on the vertical integration that we've put in place for making components and we found ourselves in the first quarter having to outsource more components than what we expected in order to meet demand and we have room for margin improvement on our vertical integration as we pick up our productivity on this new process that we put in place. At the same time, we hope to have a higher percentage of in-source components going forward rather than outsource components which will improve our margin. And so we were not quite at half way to our goal that we articulated in previous conference calls on a annual run rate, but we feel fairly strong that we'll be there in the second quarter of this year.
Operator: Our next question comes from the line of Stephen Gengaro of Stifel. Please proceed with your question.
Stephen Gengaro: So a couple of things and I guess I'd start with this is that when I look at your first quarter performance and the adjusted EBITDA, whether I look at it from an EBITDA perspective or an earnings perspective and I kind of look at your revenue expectations for the year, I'm struggling a little bit to understand based on the revenue guidance why the EBITDA guidance and EPS guidance may not be even a little bit higher. So just and I guess embedded in that question is there something in the first quarter that led to an [outsized] DynaEnergetics operating income margin?
Kevin Longe: So for the balance of the year, the margin expectations have to do with the rising productivity and the in-sourcing versus outsourcing of components. In the first half of this year, we are much heavier on outsourcing than we are on in-sourcing of components. The DynaEnergetics gross margin was acceptable at 39%, we expect it to be greater going forward, but we're also ramping up certain marketing and sales activities to help the industry understand the superior benefits of our products and so there is cost both in our ramping up of our marketing and communications as well as our digitalization as well as our in-sourcing of materials and the balance of that gives us the gross margin that we're forecasting for the year. Mike, you want to add anything?
Michael Kuta: Yes, and Steve, I would say also we had a couple of discrete items in the quarter on the tax side. So our ETR was 24% in the first quarter. We expect full year to be around 30%. So that's last 3 quarters of the year more of a 32% tax rate to get back to 30% for the full year.
Stephen Gengaro: So okay, so you're using 32% in the second quarter. Okay, okay. That's fine, maybe we take a little more offline. I was just -- I'm still trying to sort of triangulate the difference. When I look at your DynaEnergetics expectations for revenue going forward. What are you looking at as far as kind of overall market activity? Are you -- is there, I mean is the revenue growth kind of in line with what you see in the market or are you expecting any share and or pricing changes?
Kevin Longe: Yes, we were pleased to see that the market started to pick up in the back half of the first quarter. We expect the second, third, fourth quarters to be reasonably strong quarters. I believe Spears has the market frac stages up 7% year-over-year '19 versus '18 and we see the shaped charge volume because of the greater intensity of you know -- the shaped charge being up greater than the frac stages. And again Spears estimated 20% year-over-year in shaped charge growth versus '18. You know pricing, we focus on first performance, safety performance, quality, on-time delivery, our service and support, building trusting relationships with our customers. Price is not what we lead with to build our share. We have the non-price factors determine whether we're getting business or not. So we expect our pricing to be stable to hopefully improving as the year unfolds and we generate a strong return for the customers who are deploying our products and it's very important for us to get a strong return for our shareholders and so we're going to endeavor to make sure that it's not price that's driving our business. We apparently picked up share in the first quarter over the fourth quarter, perhaps more than what we expected and we were pleased that we were able to pick up that share and maintain our pricing levels. So, yes, we think that, that situation will continue through the balance of the year.
Operator: Our next question comes from the line of Gerry Sweeney with Roth Capital Partners. Please proceed with your question.
Gerry Sweeney: So I guess at the end of the day the real, like the million dollar question would be is what percentage share of that $1.3 billion market you can get. I'm not sure if you want to answer that directly, but if you don't, the 2 quick follow ups would be, you know how much growth do you have with existing customers and then if you're looking at that the perforating in general, how much growth do you think you have with companies that have not yet adopted. Are there any large potential service companies out there that you're sort of entertaining or looking at on-boarding et cetera?
Kevin Longe: Well, first and foremost, we're not trying to be all things to all people and it's very important for us to be able to serve and support our customers to the degree that they're making a commitment to DynaEnergetics and the DMC and so we're very careful when we onboard customers that we're bringing them on at a rate that we can meet their needs and support them and so that is a governing factor. We also respect our competition, we've got good competitors and they are clearly determined on being in the systems market. We actually welcome that competition. We believe that the North American unconventional energy market is a growing, thriving market that's benefited from technology improvements like we brought to the market as well as others. It's expanding the market faster globally than other energy sectors and so, the more safety reliability, operating efficiency, performance, oil recovery that we bring and our competitors bring to this marketplace, the better the market is going to be for all of us and so we're more focused on the things that drive the market in supporting our customers and the share follows those activities.
Gerry Sweeney: And then even speaking about supporting your customers. I think in the past we've talked about DynaStage, just not a product, but maybe becoming a family of products. [UV] introduced the Trinity system. Any comments on how the Trinity roll out is going as well and also any comments maybe on some additional technologies that may be in the pipeline?
Kevin Longe: Yes, the Trinity is in its infancy. It's just getting started. You know we're excited about the Trinity product line. It is a delivery system that has a number of operational benefits, that does incorporate our proprietary initiating systems and shaped charges. You know we haven't been necessarily the best at naming some of our products. You know even at times we, what started out as a product has become a family of products and we have a pretty robust pipeline of technologies both on the shaped charge, not both, on all 3 shaped charges initiating systems and the delivery systems for the guns to the market. As I mentioned in our annual shareholder letter, our patent portfolio has increased dramatically over the last 5 years. And so this is not a one-trick pony, it's a capability that we've put in place both organizationally as well as technologically and in our product lines and we expect to stay at the forefront of the underlying technologies in initiating systems, shaped charges and the operating efficiency and supply chain issues at a well site and it's just a broad product line.
Gerry Sweeney: And finally, I noticed a great quarter for NobelClad. Those guys probably don't get as much attention as they used to but just want to point that out, but you know congratulations for those guys as well so, thanks, I'll jump back in queue.
Kevin Longe: And for all of our NobleClad employees who may be on the line, I echo Gerry's comments and we appreciate all that you do and what you've enabled the Company to do.
Operator: Our next question comes from the line of Edward Marshall with Sidoti & Company. Please proceed with your question.
Edward Marshall: So I wanted to start with components versus systems and I wanted to see if I could kind of look at DynaEnergetics in 3 buckets: guns, shaped charges versus switches. Can you kind of talk about maybe the weighting of the business today and maybe what it was a year ago to get a better sense as to the growth rates in the different buckets there?
Kevin Longe: Probably the clearest comparison is you went back to 2013 when we first introduced our initiating systems and then in '15 our DynaStage guns, our perpetrating systems. Back in '13, '14, 95% plus of our revenue was components and as the initiating systems have taken hold and the perforating systems have taken hold, it's now moved to roughly in the first quarter 65% systems and that's initiating systems and perforating systems compared to a smaller amount usable.
Edward Marshall: So when you say initiating systems and perforating systems, I'm assuming the laymans terms for that is guns and switches. Does that mean also wired systems or wired initiating switches or I'm just trying to?
Kevin Longe: Yes, so our DynaSelect system or family of products, those used by service companies for assembling -- for perforating guns in their factory or at a well site and our DynaStage is a total integrated gun system that includes the shaped charges, the deck cord as well as the carriers.
Edward Marshall: So I guess backward -- going backwards if I looked at your guidance for the year of $325 million to $340 million of DynaEnergetics, for gun systems I think the math works out to about $215 million, is that is that close to what you think the market size is so far this year, you know, thinking about your share of the market as well.
Kevin Longe: Yes, I think we'll probably be closer to $250 million in systems.
Edward Marshall: And did you give a share number?
Kevin Longe: No.
Edward Marshall: I guess that's simple math, $250 million over 13. So I wanted to get your sense too if we look at the benefit of say pre-wired versus wireless which is you mentioned it in your prepared remarks about pre-wired. I just wanted to go back to that and see if you want to elaborate a little bit on the differences between pre-wired versus wireless and why you think wireless has the benefit?
Kevin Longe: With the wiring of a switch-detonator whether it's done in the factory or in the field and the way that that's package is subject to straight current, straight voltage radio frequency where a wireless system and how we packaged it is not subject to those concerns and so it's a safety issue at the well site and it's also a productivity issue because our DynaSelect system being straight current straight voltage radio frequency safe, you can have parallel operations happening on a well site where that's less possible using other people's wired systems.
Edward Marshall: And I guess looking at the competitive landscape. I just wanted to see what your view is on the competition. Is there advantages to being fully integrated having the science of geology and geographic kind of studies to you know maybe integrate that into ultimately your shaped charges that might benefit one supplier over another. I'm just curious what you might think?
Kevin Longe: Well, I think that the more knowledge that a company has, the better in terms of how their products are used in the field, which is why we've invested in [watt] optimized shaped charges and our Section 4 test facilities and we do a lot of development work with leading E&P companies and so we would support the premise that the more you know, the better you're going to be.
Edward Marshall: I'm focusing on obviously on this area, because there's been the comments earlier today, which I'm sure you saw and I think already commented indirectly upon today. I wanted to finally ask on NobelClad. We talk about -- look at the margin in that business a 26% gross margin and I'm curious, there's a mix component of that, there's a European cost savings component of that. Can you kind of help me triangulate as to what was the biggest contributor and I guess as we look through the remainder of the year at a similar sales run, absent mix, what might we see on that margin there. Thanks.
Kevin Longe: I'm very proud of the NobelClad team because through their -- it's a long cycle business and through the down cycle that they've been in and they are emerging from, they [Technical Difficulty] very healthy contribution margins and Mike, correct me if I'm wrong, but I think they had a [43%] contribution margin. And so we benefited from a couple of percentage points in terms of contribution margin and a couple of percentage points in reduced factory overhead to our consolidation program of a European facility.
Edward Marshall: And finally, I wanted to go back to DynaEnergetics if I could. You talked about some capital investment that you are putting, I think we previously talked about that capital investment bringing you to a $350 million run rate in revenue. Is the comments that you talked about today get you above that number or is that kind of where we are after that investment on DynaEnergetics.
Kevin Longe: Yes, we're also making an investment. We clearly delivered you know close to $80 million in the first quarter, which is you know a $320 million run rate if you will and that's before we have our third shaped charge line in Blum, Texas, our fourth detonator line in Germany and some additional metal working equipment up and running and so we feel pretty comfortable that our capacity is in $350 million to $400 million range.
Edward Marshall: So you've moved it higher to $350 million to $400 million in the most -- because I think last quarter or the quarter before, it was about $350 million and included this investment. I'm just curious, is that pricing, is that -- did you free up additional capacity in the space or did you add more machinery?
Kevin Longe: Well, we're getting more productivity. Having said that, we also did a lot more outsourcing in the first quarter, but we're getting better at as we bring these facilities and processes up to the level of what we're producing today and I -- my $350 million is probably a little bit of spit balling and so we're just getting more comfortable with the $350 million to $400 million range because we don't --
Edward Marshall: It was understated initially is what you're saying.
Kevin Longe: We're more comfortable with the $350 million to $400 million and again, we don't feel that we were supply constrained in the first quarter. We're meeting the needs of our customers and we're equally focused on broadening the application of our products and product lines as we go forward.
Geoff High: Ed, we got a bunch of questions in the queue, so we need to move on.
Operator: Our next question comes from the line of Jim McIlree with Chardan Capital. Please proceed with your question.
Jim McIlree: On DynaEnergetics, were there any 10% customers in the quarter?
Kevin Longe: One, it's in the Q.
Jim McIlree: And do you have a sense if customers are holding inventory again on DynaEnergetics is this something where they might be pre-ordering and holding a lot of it -- holding excess inventory in order to make sure they have the supplies they need?
Kevin Longe: Thank you for that. I don't think that there's a lot of inventory in the pipeline with our customers. One of the things that we market to them is that you know we're managing the supply chain for them by delivering a fully assembled perforated gun and so they're pretty much ordering to demand.
Jim McIlree: Thank you. And then my last one is…
Kevin Longe: Yes, I don't think -- there may have been some hedging, but I wouldn't see it from where I'm sitting.
Jim McIlree: And then my last question is on NobelClad, it just seems like you're being pretty conservative with guidance given the backlog that you have and I'm just wondering are you -- was there a huge order in Q1 and you're just expecting to trail off a little bit going forward or again it just seems that given the backlog, maybe guidance could be a little bit higher?
Kevin Longe: Yes, but we track it in that businesses -- the trailing 12-month bookings level and our revenues are strongly correlated to that and I believe our 12-month bookings are about $90-ish million and so some of that at this point will start shipping into the new year, but I actually don't think we're that conservative on it.
Operator: Our next question comes from the line of Ian Macpherson with Simmons. Please proceed with your question.
Ian MacPherson: Steven asked about this earlier about the context of your the market growth context of your guidance for DynaEnergetics, but I wanted to circle back to it, your first half revenues as delivered and guided you know they indicate a flattening of revenue growth which would be in contrast to the market share growth that you've been hoovering for a couple of years and I just wanted to ask again whether your guidance suggests a near or complete maturation of your market share this year or if you think that you have a view of the total market being a bit below par growth and you're going to do a bit better than that in your base case? I know you can't see the December today, but just a little more context around what that full year guidance number entails?
Kevin Longe: Well, for us it's not just the market share, it's the margin and being able to meet our customer needs particularly some of our customers have reduced their costs, the service companies by having us be their manufacturer of choice of perforating systems and then they're deploying it and so it's very important to us that, that when we onboard a customer that we meet their needs, that we don't leave them empty handed. If they're making a commitment to us, we want to make a commitment to them and have the capacity that they need in order to meet their customer requirements, the E&P. And so a combination of balance of on-boarding customers, maintaining and growing margins is important and we also, Ian, in the fourth quarter of '18 showed this, we make a consumable that goes into the marketplace and we have low visibility and you know we saw a change in the fourth quarter that we weren't expecting compared to the third quarter and we saw a pickup in the first quarter that we weren't expecting to be as strong as it was in the fourth quarter and so, you know there's also balancing there of what we think the market is going to be.
Ian MacPherson: That's fair enough, I appreciate the fact that you've been conservative with your guidance until now. So we'll stay tuned, but I'll pass it over. Thanks, Kevin.
Operator: [Operator Instructions] Our next question comes from the line of Will Hamilton with Manatuck Hill Partners. Please proceed with your question.
Will Hamilton: Just, Kevin in the past you've shared the number of systems that you shipped for DynaEnergetics. Could you possibly share that for this quarter?
Kevin Longe: We've somewhat moved away from reporting those numbers. Collectively on our initiating systems which includes our DynaSelect and our DynaStage systems it was approximately -- north of -- about $300,000. Yes, $330,000.
Will Hamilton: And so based on that and given stable pricing and how the quarter finished and you just commented that there's not a lot of inventory in the channel based on you know shipping to the field and shipping direct to the customer and sort of being their filling inventory would seem to suggest that March was maybe 40% or so to the quarter. So you're talking $31 million, $32 million or so. Why can't we take that and extrapolate that for the 3 months of Q2. Is there something that we should know about just that it shouldn't be north of 90?
Kevin Longe: Yes, I think you know we started to see the second half of the quarter was stronger than the first half of the quarter, but not by a wide margin in terms of our revenues and so it was fairly balanced. The surprise was the strength of the first quarter for us compared to the fourth quarter and we just have balance in our projections going forward. We also we if I could just state for everybody, we do respect our competition and their level of ingenuity and they're focused on this area also and we welcome that because we feel that's going to help to make this market more efficient and strengthen the overall size of the market as we go forward and yes, we expect to benefit from their contributions to this too.
Will Hamilton: So and to the question about system revenues. I think you mentioned something maybe $250 million for the year possibly in that range. Would you -- I mean by then are we looking at systems being closer to 75% of DynaEnergetics revenue?
Kevin Longe: Yes, I mean we no longer when I started with the Company 6, 7 years ago, we were selling gun carrier systems in the marketplace. We don't do that anymore. We actually outsource the majority of our gun carrier systems. And so, when we say initiate it -- when we say systems, we mean both initiating systems and perforating systems and energetics and that's the primary source of our revenues and we're probably moving more to an 80% systems company and I actually stand it corrected, I think we're closer to that in the first quarter than than the 65% that I gave earlier.
Will Hamilton: Last housekeeping question for Mike, what's the share count you're using for full year earnings, EPS?
Michael Kuta: Yes, I was using [indiscernible].
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session and I would like to turn the call back to Kevin Longe for closing remarks.
Kevin Longe: Thank you everybody for joining us today. We look forward to talking with you after we finish the second quarter and again, I'd like to thank our customers and our employees for their commitment and also their efforts. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.